Operator: Thank you for standing by and welcome to the CommScope's 2023 First Quarter Results Conference Call. [Operator Instructions]. As a reminder, today's call is being recorded. I will now turn the conference to your host, Massimo Disabato Vice President of Investor Relations. Please go ahead sir.
Massimo Disabato: Good morning, and thank you for joining us today to discuss CommScope's 2023 first quarter results. I am Massimo Disabato Vice President of Investor Relations for CommScope. With me on today's call are Chuck Treadway, President and CEO; and Kyle Lorentzen, Executive Vice President and CFO. You can find the slides that accompany this report on our Investor Relations website. Please note that some of our comments today will contain forward-looking statements based on our current view of our business, and actual future results may differ materially. Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance. Before I turn the call over to Chuck, I have a few housekeeping items to review. Today, we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. All references during today's discussion will be to our adjusted results. All quarterly growth rates described during today's presentation are on a year-over-year basis, unless otherwise noted. I'll now turn the call over to our President and CEO, Chuck Treadway.
Chuck Treadway: Thank you, Massimo and good morning, everyone. I'll begin on Slide 2. I'm pleased to share that we delivered chord net sales of $1.66 billion and core adjusted EBITDA of $350 million for the first quarter of 2023. As we anticipated in our February release, seasonality, project timing, customer inventory adjustments, and slower demand in certain areas of the business negatively impacted our top line in the first quarter with coordinate sales declining by 4%. Despite lower revenues, core adjusted EBITDA increased by 37% compared to the prior year. For consolidated CommScope, which includes our home networks business, we reported net sales of $2 billion down 10% and adjusted EBITDA of $312 million up 23%. I am pleased with our first quarter core performance in light of some near term challenges on the demand side. Our execution has generated significant value as we've improved our year-over-year EBITDA as a percentage of sales by approximately 570 basis points to 18.9%. Our first quarter EBITDA as a percentage of sales is the highest first quarter since the Eris acquisition. This performance is a direct result of CommScope NICS initiatives. Also during the quarter, we reduced our leverage. The adjusted net leverage ratio 6.6 times was down from 6.9 times at the end of the fourth quarter of 2022. As expected our book-to-bill declined in the first quarter as we reduce lead times in most segments back to historical levels, and experienced some change in near term demand that includes substantial customer inventory adjustments. Currently, there's a level of uncertainty around the return of demand that we are closely monitoring. We remain in constant dialogue with our customers and expect the lower book-to-bill ratio to last through the second quarter at a minimum. Based on customer discussions and quote activity in certain segments second half 2023 and 2024 fundamentals remain strong in our CCS and NICS segments. We believe the short term adjustment will give way to long term demand as network and fiber build out is still an early innings. However, we are closely monitoring the expected recovery as our early second quarter order activity remains low. Despite the lower book-to-bill our core backlog ended the quarter at $2.4 billion, roughly $1 billion higher than our backlog at the end of 2020, although the environment remains challenged based on current disability, including customer discussions and quote activity, we maintain the expectation to deliver core adjusted EBITDA in the range of $1.35 billion to $1.5 billion for the full year 2023. With exit rates in the second half projected to strengthen over the first half early analysis indicates that 2024 remains on track to deliver within guidance as well. As we have indicated before, our full year 2023 core adjusted EBITDA range had already considered challenging market conditions in the first half. Our guideposts confirmation is predicated on customers delivering strong order rates in the second half for discussions we're having with them. With that said, we're using this opportunity to address our cost structure, including evaluating opportunities to manage improved efficiency in our period overhead costs, and accelerating our CommScope NICS cost initiatives. Before turning the call over to Kyle, I'd like to talk about expectations of our business position as we move further into 2023. As we indicated throughout last year, we believe CCS has strong market tailwinds and that we are at the beginning of a multiyear build out of fiber cable and connectivity. Orders were down in the first quarter and early second quarter as customers navigate the global economic uncertainty, high inventory levels and our shortened lead times. However, as we look to the future, we expect the second quarter to continue to be supported by a backlog and expect the stronger second half of the year. It should be noted second half revenue will be driven by significant significantly stronger order rates versus the first quarter. We are well-positioned to deliver against significantly higher demand. We have aggressively invested in our internal capacity to enable Townsville to take full advantage of carrier footprint expansion, driving fiber deeper. In addition, we are well positioned to serve demand for the billions of dollars in expected government subsidies to help close the digital divide. In fact, last month, we were pleased to host the Honorable Secretary Raimondo of the United States Department of Commerce and the Governor of North Carolina Roy Cooper, among others, announcing the expansion of our fiber optic cable manufacturing in North Carolina. U.S. Secretary of Commerce Gina Raimondo said, “As we've seen, we can produce materials needed for broadband deployment right here in America. With today's announcement of a $47 million investment CommScope is demonstrating its commitment to our once in a generation infrastructure movement.” Additionally, our innovation engine is fully engaged to deploy the products that will enable all of them to come to fruition specifically designed to reduce installation complexity, save time and train the labor force faster. We continue to design our connectivity and cabling portfolio with these things in mind. And we believe our innovations are driving strategic wins in the market. More recently, we announced our HeliARC fiber optic cable optimized for rural connectivity. This innovative new cable and our capacity investment will support an additional 500,000 homes past per year. Being smaller and lighter, it will give our customers the ability to deploy cable faster and have an overall lower cost of deployment. All said in the years to come. We view our continued technology innovations, capacity investments, and customer demand will drive incremental opportunity for CCS and we remain bullish for medium and long term growth. Turning to NICS. The business has significantly improved compared to the same time last year. We believe it has turned a corner and is anchored on a trend of profitability that we expect to continue going forward evidenced in the $58 million of adjusted EBITDA delivered in the first quarter. Over the last two quarters the NICS segment is on an annualized EBITDA run rate of $229 million. We're seeing signs of chip supply constraints loosening in the market and expect gradual release throughout 2023. Additionally, NICS ended the quarter with significant backlogs supporting the [indiscernible] and ICN businesses. We continue to invest in services and recurring software as part of the segments transformation growth initiatives. I'm extremely excited about the future of NICS as a business that has been a large benefactor of our CommScope NICS program. For the remaining core CommScope businesses OWN and ANS while their overall growth potentials may be more muted, our innovation engine isn't slowing down. In OWN, we mentioned in the latter part of 2022 we fully contemplated a decline in U.S. carrier capital spending into our overall core CommScope guideposts and while this may present headwinds between 2023 revenue and adjusted EBITDA performance in the business, we expect some level of offset driven by share gains for my new technologies. This includes the mosaic antenna solution, as well as opportunities to deliver high efficiency passive antennas in energy cost conscious regions such as Europe. Finishing with ANS, as we have discussed, the segment has transitioned to a leading supplier of edge related products, including RPD and RMD nodes as well as amplifiers. As we announced earlier this year, we shipped more than 1 million RF amplifiers to top cable operators in 2022 demonstrating our global leadership in DOCSIS and [access] networks. In addition, we have developed with Comcast and FDS amplifier that will be used as their NICS generation amplifier as they move to 10G. In our legacy products, we continue to support our strong install base. We continue to have opportunities in our legacy CMTS products to gain market share, especially outside of the United States. In addition to our strength and legacy technology and Edge products, we're developing a virtual CMTS alternative. Based on the broad product portfolio, ANS is well-positioned to support customers across all technologies from head into the edge. In Q1, the EBITDA results of the ANS business were impacted by the seasonality of the business, but we expect the segment to continue to improve through the rest of the year. And with that, I'd like to turn things over to Kyle to talk more about our first quarter results.
Kyle Lorentzen: Thank you, Chuck and good morning, everyone. I'll start with an overview of our first quarter 2023 results on Slide 3. For the first quarter consolidated CommScope reported net sales of $2 billion, a decrease of 10% from the prior year driven by declines in OWN and Home partially offset by strong NICS growth. Adjusted EBITDA of $312 million increased 23%. Adjusted EPS was $0.35 per share increasing 35% from prior year. This is in line with our comments in the fourth quarter call, indicating that the first quarter was going to be down sequentially due to seasonality, customer inventory adjustments and lower demand. For core CommScope net sales of $1.66 billion declined 4% from the prior year and adjusted EBITDA of $315 million increased 37%. The increase in adjusted EBITDA against the backdrop of lower sales was attributable to CommScope NICS initiatives focused on operational efficiency and price. Also, I would like to mention as reported in the press, we experienced the cyber incident that resulted in minimal impact to the business operations. Our historical investments in business continuity and IT system resilience allowed us to minimize impacts from an aggressive attack. We also learned some lessons and implemented several new systems and tools to significantly minimize the probability of additional incidents. Core CommScope backlog continued to decrease in end of the quarter at $2.4 billion, a decrease of 17% versus the end of 2022. Core books to bill for the quarter was 0.68, we are still roughly $1 million above our December 2020 backlog levels that provides some offset to lower short term order rate. Turning now to our segment highlights on Slide 4. Starting with CCS net sales of $823 million decreased 2% from the prior year. Net sales for our network cabling and conductivity product line increased year-over-year. This was more than offset by a decrease in our building and data center conductivity product line net sales given typical seasonality and continued inventory adjustments in the channel. However, as mentioned, CCS customer conversations remain bullish on medium and long term growth. CCS adjusted EBITDA of $148 million increased 50% from the prior year, primarily driven by our CommScope NICS initiatives, including cost efficiency and pricing. NICS net sales of $285 million increased sharply by 51%. From a business unit perspective RUCKUS led the way increasing 57%. The NICS business is still seeing chip supply constraints, but the constraints are loosening, and we expect the situation to improve as we move through 2023. NICS adjusted EBITDA of $58 million improved from negative $14 million in the prior year, primarily driven by stronger demand and better pricing. The last two quarters is more indicative of NICS's performance moving forward than the LTM results. We continue to be excited about the growth opportunities in NICS as we continue to invest heavily in R&D for RUCKUS and OneCell. The man remains strong in NICS as we ended the first quarter with a backlog of approximately $700 million. OWM net sales of $258 million decreased 34% from the prior year and across all business units. This was expected as North America service providers indicated significantly lower spending from 2022 to 2023. In addition, the first quarter revenue was impacted by customer inventory adjustments that will spill into the second quarter. OWM adjusted EBITDA of $60 million declined 16% from the prior year. As previously indicated, we view the long term opportunity for OWM as having single digit growth. That being said, we believe 2023 presents anticipated headwinds that will drive OWM's top line to decline this year. The headwinds are primarily driven by the expected reduction in North American operator capital expenditures, and customer inventory adjustments. This decline was partially offset with new product innovations discussed throughout the last few quarters, such as our mosaic antenna solution. During the quarter, we saw our first meaningful orders of the mosaic antenna with large service providers. It's also important to highlight that the Lower North America service provider spending has been previously contemplated in our full year 2023 core adjusted EBITDA guideposts. ANS net sales of $299 million decreased 6% from the prior year due to project timing. ANS adjusted EBITDA of $50 million declined 33% primarily driven by lower revenue and product mix, which essentially represents a shift in customer spending toward more hardware centric and lower margin products like our nodes and amplifiers. We expect that ANS will deliver stronger EBITDA quarters, the rest of 2023 as project timing is second half weighted. Finishing up the segments with home networks, Home net sales of $337 million declined 32% from the prior year across all business units, driven by customer inventory adjustments and lower demand. Home adjusted EBITDA of negative $3 million declined from $23 million in the prior year as a result of lower revenue. We continue to work on the transformation initiatives in home networks including near term cost reductions. We continue to look for the right separation opportunity for the Home business. Turning to Slide 5 for an update on cash flow. As indicated on our prior call, we expected the first quarter to be a use of cash because it is our second highest interest paying quarter and the timing of our annual cash incentive payouts. That said for the first quarter cash flow from operations was a use of $46 million and adjusted free cash flow was a use of $40 million. 2023 cash flow from operations declined from the prior year because the majority of our annual cash incentive payment occurred in the second quarter in 2022. Our cash balance declined $71 million which included a use of $50 million to buy back debt. Excluding the buyback cash balance declined only $21 million. We expect to generate meaningful improved free cash flow for the full year of 2023. As we indicated on the last call, we would expect the midpoint of our EBITDA guideposts for 2023 to a little over $500 million of adjusted free cash flow for the year. Turning to Slide 6 for an update on our liquidity and capital structure. During the first quarter, our cash and liquidity remained strong. We ended the quarter with $327 million in global cash and total available cash and liquidity of over $1 billion. We did not draw on our ABL revolver during the first quarter of 2023 and therefore ended the quarter with no outstanding balance. In the first quarter, we executed the debt buyback program and repurchase $57 million of our long term debt for cash consideration of $50 million. To add more detail, we repurchased $47 million of the 8.75% senior notes due 2027, $7 million of the 6% senior notes due 2025 and $3 million of the 7.125% senior notes due 2028. We also paid the required $8 million with term loan amortization during the first quarter. The company ended with an adjusted net leverage of 6.6, which was below where we ended 2022. Going forward, we intend to continue to reduce leverage and we'll buy back securities opportunistically across the breadth of our capital structure when we see appropriate returns. I'm now turning to Slide 7 where I will conclude my prepared remarks with some commentary around our expectations for the remainder of 2023. Although our external environment remains challenged with lower order rates in the short term, we still expect to deliver 2023 adjusted EBITDA in the range of $1.35 billion to $1.5 billion. Again, the midpoint of this range already contemplates a relatively flat year-over-year top line growth. This guidance is dependent on the recovery of our order rates in the second half, particularly in our CCS and OWM segments. As Chuck mentioned, we are implementing cost actions including accelerating certain CommScope NEXT efficiency initiatives. The magnitude of this program will be dependent on how we see orders evolve over the next quarter. We expect second quarter core net sales and adjusted EBITDA to be generally in line with the first quarter and improvement in the second half of the year as we expect to see a ramp in orders and cost actions. As we continue to progress as a result of project timing and mix our business should be viewed on an annual performance basis rather than quarterly. And with that, I'd like to give the floor back to Chuck for some closing remarks.
Chuck Treadway: Thank you, Kyle. Despite the uncertain near term economic environment as Kyle and I have mentioned during our prepared remarks this morning, we believe that our backlog and CommScope NEXT initiatives provide a strong foundation for the company to continue to grow and create value. I'm pleased with our team's performance in the first quarter, and we will continue to manage the things we control. Our profitability profile has dramatically improved since the first quarter of 2022 driven by efficiency projects and pricing. CCS and NICS are a testament to that progress, as we've improved those two segments EBITDA by $121 million over the same period of last year. We continue to monitor the demand environment across all segments. We feel positive about the medium and long term environment, especially in CCS, where fiber build out has tailwinds. With that said, we are experiencing a pause in orders as customers deal with recessionary impacts on their business, including inventory management. Our teams are committed to aggressively and positively manage the items that we can control. I'd like to thank you for your interest in supporting CommScope and belief in our ability to continue to drive transformative change, which we believe will continue to unlock significant value for our shareholders. And with that will now open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Steven Fox from Fox Advisors LLC. Your line is open. 
Steven Fox: Hi, good morning. Two questions if I could. I was wondering if he could first off provide a little more color on the customer inventories you see at the OWM segment and the CCS side in terms of how they've improved what is the expectation for working them down, etc. And then secondly, when we think about further improvements in EBITDA from NICS initiatives, can you sort of give us a sense for how many dials you can sort of adjust depending on what the demand environment looks like in the second half to maybe stick to the EBITDA guidance for full year? Thank you.
Chuck Treadway: Thanks, Steven. Look, I think our customers bought a lot in 2022, due to like the ramping up of their build outs and the supply chain shortages. And I think over the last two quarters, there's been a lot about destocking. But I would say we also see some places where the demand is lower as people kind of think about and digest the current macro environment. But I'd say a large majority of our customers are pointing to a strong rebound in the second half. The other thing I think that's affecting us is, is the lead times are much lower than they've been in the past. We were having lead times of six months for some product lines, and now they're like two to four weeks. So I think that's also affecting their inventory.
Kyle Lorentzen: I'll take the second part of your question. Just on the other CommScope NICS levers we have I think we clearly feel like there's cost opportunities in the business, depending on the demand environment. I think some of those are new initiatives but some of those also are just accelerating initiatives that we've already identified. And I think as we said in the remarks as we -- you know, will dial those levers in as we see demand and unfold here in the next quarter or so. And Steve, I was just follow up on my answer, I would say it's also relatively highly dependent on the business. In our enterprise businesses, we have really good visibility. But in our service providers, I would say the visibility is less. That being said we're in a constant dialogue with them about their inventory levels, and we have some insight with the service providers, but not as much as enterprise. So that gives us a little more confidence in what we think is happening in the second half.
Steven Fox: Great, that's helpful. Thank you.
Operator: Thank you. One moment, please. Our next question comes from the line of Simon Leopold of Raymond James. Your line is open.
Simon Leopold: Thanks for taking the question. I wanted to maybe unpack a little bit about the trending in CCS given that some of the opportunities you're highlighting, like the government opportunities, like I feel are more longer term. And I really want to get a better understanding of just the setup for 2023 and the recovery in the second half if I might, it does seem to imply some kind of hockey stick improvement in the second half. And I just want to make sure I'm not extrapolating or putting too much weight on that one segment in your full year expectation. If you could help me understand that? Thank you.
Chuck Treadway: Yes, so I start by saying our customers do remain bullish. But I think we said in our script, we're going to we expect slightly better second half and first half. I wouldn't think like a very strong hockey stick. And I think we said the second quarter is more flattish compared to the first. But related to your other comment our customers do remain bullish medium and long term. We also think related to government spending our [indiscernible] from our perspective is probably 20% to 40% where it's going. So that's going to continue. And I think there's a lot that's coming with [indiscernible] but as you say, I think that's more of a 24 type number. I would also comment that the cable business is actually strong. We continue to pretty much sell what we can make. But the connectivity is really where we're seeing the softness, and we think that's more to our end customers finding labor or maybe slow down or not going as fast and projects as they thought.
Simon Leopold: And then actually anticipated my follow up. I think, on the last conference call, you had talked about ANS as a segment being relatively flat to maybe slightly up in 2023. It looks like a slow start. But when I think about the upgrade activity and the demand for amplifiers and nodes, I would think the demand environment is pretty good. I wanted to check how you feel about the full year setup for ANS? Thanks.
Kyle Lorentzen: Yes, I think in our comments, we talked about the fact that ANS is definitely going to be second half weighted. ANS is just a quarter-to-quarter is a lumpy business based on project and timing of those projects. So, we definitely believe that ANS is going to have a much better second half than first half and that's in many cases projects that we that we have in hand that we just have to execute against. The other thing I would add to that Simon is we're well-positioned with our RPD and RMD nodes, as well as the amplifiers, and that business is growing fast for us. And I would even go as far as to say, our legacy businesses still very profitable, and that we're growing share outside of the United States. And then in addition to just the business that way we're also developing new products with the virtual CMTS. And as you read in the press release, we're developing the FDX amplifier with Comcast, that I would say further positions us as a leader in that space.
Simon Leopold: Great, thank you very much.
Operator: Thank you. One moment, please. Our next question comes from the line of George Notter of Jefferies. Your line is open. Again, George Notter of Jefferies. Your line is open.
George Notter: Hi, there. Thanks very much. Hey, guys, I guess the question I have here is, I'm really surprised by the strength of the EBITDA and margin performance in the business, just given the softness in the top line. And I appreciate your comments about how the NEXT program is, is driving improvement. At the same time, I feel like the NEXT program has been around for a few years. I guess my impression is that that business has been kind of ongoing and so I'm getting back to just where the EBITDA margin performance is coming from. I guess I assume some of it is higher pricing, this year kind of keeping while input costs are rolling down. I mean, is that the narrative here that we should be thinking about? Or is there something else at play that I should be better understanding?
Chuck Treadway: Well, I have several comments. I'd start by saying CommScope NEXT went into effect at the end of 2021 and when you really think about that, I mean, it's only like a year and a half almost old. And when you think about where we're going with a general manager model, it allows us to see inefficiencies that's caused by our former matrix structure and the matrix structure. There's, it just builds distrust between the business units and the central functions. And it causes for a lot of, let's say, shadow organizations. So we've seen a lot of opportunities to take out costs and we continue to see those. I would also say process mapping allows us to minimize the waste and improve the processes. And related to supply chain, I would say that the current where we are with supply chain constraints, although they're loosening and moderating. I mean, that's prevented us from really addressing our direct materials. This is really about a cultural change in the company and having our business leaders make an impact. I would also emphasize the NICS turnarounds, at a $72 million increase in EBITDA year-over-year for the quarter. I mean, it just shows a lot that's going on in that business. So I think it's just, we're managing our business with a GM mindset. We're changing the culture, and we're getting people to pay attention to ways. And I think there's a lot of opportunities here.
George Notter: Got it. Okay. So then I assume improvement in input costs is not a factor in the EBITDA improvement this quarter?
Kyle Lorentzen: No, I mean, I think the pricing that we talked about last year we were calling back some of the inflationary impacts. We're not seeing massive benefits on input costs at this point in time.
George Notter: Okay. Super, thanks very much, guys. Appreciate it.
Operator: Thank you. One moment please. Our next question comes from the line of Matt Niknam of Deutsche Bank. Your line is open.
Matt Niknam: Hey, guys, thank you for taking the questions. Just two if I could. First on the core EBITDA targets that you reaffirmed for '23. A wondering can you achieve the targets with accelerated cost efficiency measures if orders don't snap back as contemplated or as you anticipate in the second half of the year? And then maybe a follow on in terms of free cash flow just wondering how we should think about the cadence over the next several quarters and, Kyle, I believe you reaffirm the 400 to 500 mil expectation for adjusted cash flow. Just want to make sure that's the case. Thank you.
Kyle Lorentzen: Yes. So let me take the first part of the question. So there's always a balance between seeing what's happening on the demand side and managing our costs. I think we feel like there's room if the demand doesn't bounce back that we've got cost levers. Obviously, that's going to depend on what happens with demand and what type of changes we see. So I think, we feel like there's still levers to pull on the cost. Just on the free cash flow. I think, as we talked about Q1 is usually use of cash. We should build cash. In Q2, Q3, Q4 the only thing that really impacts majorly the timing is just our interest payments. So the third quarter is our highest interest payment quarter. So I'd expect building cash in Q2 maybe a little bit impacted by just the timing of the interest payments in Q3 and then continued building Q4 that gets us to that 400 to 500 number that we've been talking about.
Matt Niknam: Okay, great. If I could just squeezing one follow up? On the order rates, as you think about the improvement in the second half of the year, any sort of order of magnitude are you thinking maybe flattish with a year ago levels? Like I'm just trying to get a sense of how meaningful that order improvement is that at least is being initially compensated in the commentary?
Speaker: Yes. I don't think we're gonna talk about the specific numbers. But I think as we mentioned in our commentary it needs to be, there needs to be a pretty nice rebound in our order rate from what we saw in the first quarter. Clearly, the first quarter been impacted by the things that Chuck talked about the inventory adjustments, the reduction of our lead times, and clearly some of the project time. So we're not going to give numbers but yes, I think we'd have to see some, some strong rebound.
Matt Niknam: Thank you. 
Operator: Thank you. One moment, please. Our next question comes from the line of Ana Goshko of Bank of America. Your line is open. Ana Goshko of Bank of America. Your line is open.
Ana Goshko: Hi. Thanks very much. So, Kyle, just on the free cash flow, what is your plan use for that free cash flow?
Kyle Lorentzen:  Yes. I think as we've been talking about we want to continue to deal with the debt, and continue to look at opportunities to address the debt. Clearly, we took some steps in Q1 with some buybacks. And we'll continue to opportunistically look at places that we can use the cash to continue to de lever in addressing the debt.
Ana Goshko: Okay, and then with regard to the first maturity, that you've got to 2025 any plans or potential to refinance that to push that out?
Kyle Lorentzen: Yes, I think as we think about the maturities and the debt, the first thing is, we obviously are very aware of the fact of the maturities and particularly the '25 and '26. We clearly are looking at opportunistic things that we can do from a market standpoint. So I think that's an ongoing conversation. I think what that said, a couple of things, number one, we feel like, we've still got to, we've got some time. Number two, we're going to generate some cash which allows us to deal with some of those maturities. So, again, we're aware of it. We're focused on it, and we're looking for the right time to deal with that, but also have some cash coming in and some time to deal with those even the '25.
Ana Goshko: Okay, and then finally, just wanted to on 2024 if I heard you correctly, it sounds like you guys think that you're on track to potentially reach the '24 guide. So from a deleveraging standpoint, it would sort of be more of the same potentially with some more momentum in 24 hours. Is that accurate?
Kyle Lorentzen: Yes, I think that's fair. Clearly what we see in the second half of the year with the recovery of the demand is going to impact that but based on what we're hearing from customers. I think we feel like the exit rates in Q4 will be relatively strong which will set us up for the '24 guideposts.
Ana Goshko: Okay, great. Thanks so much.
Operator: Thank you. One moment, please. Our next question comes from the line of Amit Daryanani of Evercore. Your line is open.
Amit Daryanani: Thanks for taking my question. I'll have two as well. I guess, first one, maybe negative 40 million free cash flow, I looked at and said, how is that versus your own internal expectations. And as you see this ramp towards four 50 million-ish at the midpoint your guide, is a way to think about how much of that is driven by better working capital improvements versus better profitability that equation seems at all?
Kyle Lorentzen: Well, I think as we mentioned, in Q1, we have some headwinds that just normally hit us in Q1. Number one is a large interest payment quarter. The second is our cash incentive payment goes out which is not insignificant. So as we go through the rest of the year we'll be driving improved EBITDA performance, as well, as a couple of the quarters will have lower interest payment quarters in Q1, I think in our targets. But I think, as we've talked about the last couple of calls we don't have large working capital improvements built in there. I think we continue to manage inventory levels that we think it's access but it's going to take us a little bit of time to get that inventory down. So overall in those numbers, we don't have significant reductions in working capital built in to get to those targets.
Amit Daryanani: Got it. Super helpful. And if I could just follow up one of the questions I think folks are sort of struggling with right now, just you're talking about a very strong back half recovery I think, if I take your full year assumptions, and you do four assumptions, right, we talked about a very strong backup recovery while I think there's a broader worry that we might enter into a recession, and at least a lot of enterprise companies are down taking more versus not. So not to make you repeat a view said, but I'm just going to say, what gives you confidence that you can see this backup recovery, is that recovery going to be across both enterprise and [indiscernible] your service provider market? Or is there one space where you see it better? But just anything on the back half strength and why you convicted? That would be helpful.
Chuck Treadway: Yes. Look obviously we were cautious as our rates haven't picked up to the level we expected them to but with that said, the customers remain bullish on the second half, as number one government funding specifically [indiscernible] continues. And I also say the inventory that they have on hand, will position us continues to get better. Let's see if that gets adjusted. That's going to help us and also on the enterprise businesses, I would say the quote, activity has improved a lot since the fourth quarter in, which indicates to us a stronger second half.
Amit Daryanani: Perfect. Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Shannon Cross of Crédit Suisse. Your line is open. 
Shannon Cross: Thank you very much. I was wondering if you could talk a bit more about the composition of the backlog, how we should think about how the backlog is priced, if there's opportunity to increase prices on that as you start to fulfill the backlog. Just I don't know, whatever you can give us in terms of details. Thank you. 
Chuck Treadway: Thanks. I mean, I think the composition of the backlog we feel comfortable with the backlog. Our backlog contains the price increases that we put in place last year to offset inflation. I don't think we're looking at the backlog as an opportunity to get pricing. I think we're always looking for opportunities to make sure that we're managing price in relation to material cost and input costs. But I think we feel good about the backlog from a pricing perspective and I don't think we look at that as an opportunity.
Shannon Cross: What about the stability of the backlog? I mean, how, how contracted? Is it have you seen any of it dissipate?
Kyle Lorentzen: Yes. I mean, I think the way to answer that is we haven't, we've seen some cancellation in our backlog, but nothing significant. I think we feel the backlog and the validity of that backlog to be pretty solid just based on the fact that we've gone through a pretty interesting first quarter. And although we've seen some cancellations, nothing that we would consider to be significant.
Shannon Cross: Okay. And then I guess my last question is just regarding your cost restructuring plan that you have in place and the ability to accelerate it. I'm wondering, like, how long once you make the determination, assuming that things stay weak to reduce costs, how quickly can we see that flow through the P&L? I'm just again, trying to figure out the ability to remain or your competence level and your ability to remain within your EBITDA range? Thank you.
Chuck Treadway:
--:
Shannon Cross: Thank you.
Operator: Thank you. One moment please. It looks like we do have time for one more question. One moment, please. Our next question comes from a lot of Meta Marshall of Morgan Stanley. Your line is open.
Meta Marshall: Great, thanks. I guess just in terms of do you feel as kind of the improvements that you've seen to-date have largely captured the pricing increases? Or is there still kind of further benefit we should see from margin from kind of the pricing actions that you guys have taken? And then second and you talked about kind of the mosaic traction, but if we could just get an update on some of the other new initiatives that you have either OneCell or you spoke to kind of some of the new fiber, you have just traction with some of the innovative parts of the portfolio would be helpful. Thanks.
Kyle Lorentzen: Yes. I'll answer -- I'll answer the first one and I'll give the second one to Chuck. So I think on the pricing side we were, we went through our inflationary price increase last year. I think that pricing is essentially built into Q1. Our backlog contains the price increases. I don't think we feel in the short to medium term that there is ups, a lot of upside to pricing. I think we feel like we're balanced both from a input cost perspective and a competitive standpoint. So I don't think we feel like in the short to medium term there's a lot of opportunity there.
Chuck Treadway: Well, thanks for the second half of the question Meta. In terms of new product introductions, I mean, really excited about HeliARC. It's a rural fiber optic cable that we were able to show to United States Secretary of Commerce, Raimondo when she was at our site. The diameter is half of what it was. So it's green, and we could ship more out faster installation. Also, in the CCS part of our business, we have no bugs which is coming down the pipe, again, with all of our customers that we speak to the challenges that they have is how do they train their people, how do they reduce installation times, and this [indiscernible] product is going to get them both of that very easy installation techniques and training, very minimal training, much faster installation. So we're pleased about that. We already launched part of it in Europe. We're going to be launching it in the U.S. soon. In terms of the next business we think about Ruckus 1 which is going to be a combination of a Wi-Fi 7 product with cell service integrated in. When you start thinking about private networks, or thinking about manufacturer manufacturing 4.0 to get into manufacturing locations to be able to use Wi-Fi and cell service in buildings in one box, we see that as very, very positive. That also I would say on the ANS side, R&D RPD or virtual CMTS this technology that we're putting together gives our customers solutions that will fit them whatever path they choose which is also very positive. So those are things that we're seeing some bright spots. On the home network side they have telehealth that they're working on, which is called Home site. It's a nice product that allows to elderly people or anyone, I guess, to be able to answer the telephone, on their television, to be able to have doctor's appointments to their television screen, and to be able to monitor them as they're in their home. So we have quite a bit of innovation in all the different segments in addition to the mosaic product.
Meta Marshall: Great, thank you. 
Operator: Thank you. I'd like to turn the call over to Chuck Treadway for any closing remarks.
Chuck Treadway: I just like to say thank you for your interest in CommScope and for your questions today. And I hope you have the rest of the week. Rest of the week goes well for you. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you all for participating. You may now disconnect. Have a great day.